Operator: Ladies and gentlemen, good morning. My name is Abbie, and I will be your conference operator today. At this time, I would like to welcome everyone to the SolarWinds First Quarter 2022 Earnings Call. Today's conference is being recorded.  Thank you. And I would now like to turn the conference over to Mr. Bart Kalsu, Chief Financial Officer. Mr. Kalsu, you may begin your conference.
Bart Kalsu: Thank you, Abbie. Good morning, everyone, and welcome to SolarWinds First Quarter 2022 Earnings Call. With me today is Sudhakar Ramakrishna, our President and CEO. Following prepared remarks, we'll have a question-and-answer session. This call is being simultaneously webcast on our Investor Relations website at investors.solarwinds.com. Our Investor Relations website, you can also find -- on our Investor Relations website, you can also find our earnings press release and a summary slide deck, which is intended to supplement our prepared remarks during today's call. Please remember that certain statements made during this call are forward-looking statements, including those concerning our financial outlook, the impact of the cyber incident on our business, our market opportunities, our expectations regarding customer retention and our evolution to the subscription first mentality, the impact of the global economic and geopolitical environment on our business and the impact of the spin-off of the N-able business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information except as required by law. These statements are also subject to a number of risks and uncertainties, including the numerous risks related to the cyber incident, the current global economic and geopolitical environment and the completed spinoff of the N-able business. Additional information concerning these statements and the risks and uncertainties associated with them is highlighted in today's earnings release and in our filings with the SEC. Copies are available from the SEC or on our Investor Relations website. We completed the spin-off of the N-able business on July 19, 2021, and accordingly have included the results of the N-able business as discontinued operations for historical periods. Therefore, the financial results presented on this call reflect SolarWinds as a standalone business and do not include any contribution from the N-able business. Furthermore, we will discuss various non-GAAP financial measures on today's call. Unless otherwise specified, when we refer to financial measures, we will be referring to the non-GAAP financial measures. A reconciliation of the differences between GAAP and non-GAAP financial measures discussed on today's call are available in our earnings press release and summary slide deck on the Investor Relations page of our website. We note also that beginning this quarter, we no longer adjust our revenue for the impact of purchase accounting, so our non-GAAP total revenue would have been equivalent to our GAAP total revenue for the first quarter of 2022. With that, I'll now turn the call over to Sudhakar.
Sudhakar Ramakrishna: Thank you, Bart. Good morning, everyone, and thank you for joining us today. I hope you're doing well and staying safe. Once again, I would like to start by thanking our employees, customers, partners and our shareholders for their ongoing commitment to SolarWinds. In Q1, we made significant progress related to our key priorities of customer retention, increased focus on subscription revenue growth and evolution to platform-based solutions with the launch of our hybrid observability solution in April. Our teams achieved impressive results despite a challenging macro environment due to the relevance of our solutions, the trust that our customers place in us, and the intense customer success mindset of our team. We continue to make solid progress towards the goals we outlined during our Analyst Day on November 10, 2021. Our expanded offerings portfolio and our expanding market opportunity, which we believe will amount to approximately $60 billion by 2025, further reinforce our goal of achieving at least $1 billion in ARR by 2025 with a compounded annual subscription ARR growth north of 30% over that time period, and while building EBITDA margins in the mid-40s. We had several highlights in the first quarter of 2022. I will touch on some of the highlights before turning it back over to Bart for more color on the quarter as well as our financial outlook for the second quarter of 2022. First, I am very pleased to report that we timely achieved an important step in our transformation efforts that we outlined during our Analyst Day: To help customers automate, observe, visualize and remediate their environment, leveraging the SolarWinds platform as we help accelerate their business transformation in multi-cloud world. SolarWind's hybrid cloud observability is generally available as of April 19 after a successful early access preview with great  and feedback from customers. Leveraging our best-in-class monitoring solution, we had overlaid observability benefits with tiered subscription licenses. Customers, in addition to protecting their current investments enjoy the increased benefits of simplicity, including with node-based licensing, and greater productivity while creating effective on-ramp to cloud deployments. For the first quarter, we delivered revenues of $177 million, above the high end of the range we provided of $173 million to $176 million. This represents a 2% year-over-year growth. Bart will outline the Europe currency headwinds that we and others experienced, without which, we would have delivered another 1% of additional growth. Adjusted EBITDA was $69 million, representing an adjusted EBITDA margin of 39%, again exceeding our outlook for the first quarter. Bart and I previously indicated that we expect maintenance renewal rates to approach our historical rates in the low to mid-90s in 2022. I'm excited to report that in Q1 2022, our in-quarter renewal rates were . I attribute this very directly to the commitment of our teams, the relevancy of our solutions and the trust that customers place in us. We also believe that the return of our renewal rates to our historical levels creates an even more solid foundation for business growth in the future. Subscription revenue year-over-year growth was 37%, supported by our largest customer converting to term subscription. We continue to drive a subscription-first mindset and continue to believe that we can grow both top line and subscriptions simultaneously. We finished the first quarter of 2022 with 852 customers that have spent more than $100,000 with us in the last 12 months. This is 11% improvement over the previous year. Increasingly, we are helping customers to consolidate tools to enjoy comprehensive visibility and to integrate their environments, resulting in larger deal sizes. Our service desk, also known as ITSM in broad terms, and database portfolios continue to demonstrate strong net retention and expansion growth and increasingly help us create a broader business foundation not only in revenue terms, but also in ways we can serve the evolving business transformation needs of our customers. SolarWinds Service Desk solution now supports dynamic forms. The use of dynamic forms is one of the most powerful changes made to the SolarWinds service desk portfolio. This was consistently amongst the most requested features by customers for the past few quarters. Dynamic form rules allow agents to collect vital information relevant to customer issues quickly and efficiently, accelerating problem resolution. The pace of innovation and customer adoption of our service desk solution has eased, and they will form the basis for the automation and remediation pillars of the SolarWinds platform. We expanded our SolarWinds Database Performance Analyzer, DPA, to now support all global cloud SQL offerings, including MySQL, PostgreSQL and SQL Server. This is in addition to the support of Azure and AWS Hyperscaler platforms. The 2022 GigaOm Radar for Cloud Observability Solutions rated SolarWinds Hybrid Cloud Observability as a leader and fast mover due to our strength across all key criteria of evaluation including: reporting in dashboards, user interaction performance, multi-cloud resource views, predictive analysis and licensing flexibility. SolarWinds hosted THWACKcamp 2022 on March 2 and 3. This virtual event was attended by over 2,200 members attending 14 sessions across 8 hours and marking our tenth anniversary of this successful event. Our vibrant THWACK user community of more than 180,000 registered members continues to grow with IT, Dev, Sec and cloud ops professionals, and remains a key source of primary research and customer preferences for us. Engaging with our customers and community enables us to ensure our solutions are relevant to our customers, and we believe further increases the rate of success of our investments. With that, I'll turn it over to Bart to provide more details on our financial comments and outlook.
Bart Kalsu: Thanks, Sudhakar. In 2021, we were focused on retaining customers. In 2022, we are turning our attention to reaccelerating growth with a subscription-first mentality. The first quarter was the first full quarter in our journey in shifting to a subscription-first mentality and repositioning the company in the observability market. While our journey is only beginning, our first quarter results are indicative of that transition and reflect a solid quarter of execution. That execution led to another quarter of better-than-expected financial results with total revenue ending at $177 million, above the high end of our total revenue outlook of $173 million to $176 million. We no longer adjust our revenue for the impact of purchase accounting, so our GAAP total revenue is equivalent to the non-GAAP total revenue measure we have historically reported. I will start with subscription revenue to go along with our subscription-first mentality. First quarter subscription revenue was $38.7 million, up 37% year-over-year, aided by the conversion of our largest maintenance customer to a subscription arrangement. This conversion contributed approximately 9% of the 37% year-over-year growth. Notwithstanding this conversion, our subscription revenues still grew beyond our expectations, reflecting, albeit early in our journey, the success of our subscription-first efforts. Similar to our license and maintenance arrangements, as we convert maintenance customers to the hybrid observability subscriptions, we recognize a majority of the revenue upfront and the rest ratably over the subscription period. Our subscription ARR as of March 31, 2022, was $142 million, which is an increase of 30% year-over-year. Total license and maintenance revenue was $138 million in the first quarter, which is a decrease of 5% from the prior year period. Maintenance revenue was $115.5 million in the first quarter, which is a decrease of 4% from the prior year. As we talked about in February, our maintenance revenue has been impacted by a combination of prior year year-over-year declines in license sales and a reduction in our renewal rates in 2021. The trend toward lower license sales was further impacted by the introduction of subscriptions of our licensed products in the second quarter of 2020, the cyber incident in December 2020, and as we focused more of our efforts on longer-term customer success and retention. This trend continued in the first quarter as we shifted more of our focus to sales of our subscription solutions as well as conversions of our maintenance customers to term subscriptions. In 2021, we were encouraged by the fact that our maintenance renewal rates were at 88%, and they continued to be at that level on a trailing 12-month basis at the end of Q1. However, our in-quarter renewal rate for the first quarter of 2022 is currently at 91%, which is more consistent with our historical norms of the low to mid-90s. This is a testament to the loyalty of our customer base and our efforts for the past 12 months. As we convert maintenance customers to subscription arrangements, we exclude those customers from this calculation, as you would expect. For the first quarter, license revenue was $22.6 million, which represents a decline of approximately 9% as compared to the first quarter of 2021. Keep in mind, our new perpetual license sales performance will continue to be impacted by our focus on sales of subscription offerings. As noted previously, our increased sales of subscriptions offset the decline in license revenue. Importantly, our overall new subscription sales, including conversions of maintenance customers to subscription arrangements, were better than anticipated, which resulted in total revenue exceeding our outlook. Looking ahead, we continue to believe that our new sales mix will deliver overall revenue growth even as we accelerate customer transitions to subscription arrangements. As Sudhakar mentioned earlier, we finished the first quarter of 2022 with 852 customers that have spent more than $100,000 with us in the last 12 months, which is an 11% improvement over the previous year. We continue to supplement our traditional high-velocity low-touch sales approach with targeted efforts to build larger relationships with our enterprise customers, which we detailed at our Analyst Day in November. We also delivered a solid first quarter of non-GAAP profitability. First quarter adjusted EBITDA was $68.8 million, representing an adjusted EBITDA margin of 39%, exceeding our outlook for the quarter even as we continue to invest in our business. Excluded from adjusted EBITDA in the first quarter are one-time cost of approximately $5.7 million of cyber incident-related investigation and professional fees, net of insurance proceeds. These cyber incident-related costs that are not included in adjusted EBITDA are one-time and non-recurring. We expect one-time cyber incident-related costs to fluctuate in future quarters, but to overall be lower as we get further away from the incident. These one-time cyber costs are, however, very difficult to predict. Net leverage on March 31, 2022, was approximately 3.9x our trailing 12-month adjusted EBITDA. As a reminder, we retained the full amount of the $1.9 billion in term debt that we had prior to the spin-off of N-able. Our cash balance was $751 million at the end of the first quarter, bringing our net debt to approximately $1.2 billion. We believe we have favorable terms on our debt, so we intend to maintain that flexibility as it relates to the cash on our balance sheet. Our debt matures in February of 2024, and we expect to revisit our level of gross debt as we get closer to that date. I will now walk you through our outlook before turning it back over to Sudhakar for some final thoughts. As I turn to Q2 guidance, I want to remind everyone that we transact a significant portion of our business in euros, and as you all know, the euro to U.S. dollar FX environment has weakened significantly from the beginning of the year. The euro is currently 9% lower than when we provided our initial annual guidance in November at our Analyst Day. For the second quarter, we expect total revenue to be in the range of $174 million to $177 million, representing a year-over-year decline of 2% to flat. Total revenue for the second quarter would be approximately $4 million higher, assuming the same FX rates as the second quarter of 2021. Adjusted EBITDA margin for the second quarter is expected to be approximately 37% to 38%. Non-GAAP fully diluted earnings per share is projected to be $0.20 per share, assuming an estimated 161.6 million fully diluted shares outstanding. And finally, our outlook for the second quarter assumes a non-GAAP tax rate of 24% as we expect to pay approximately $13.1 million in cash taxes during the second quarter of 2022. We are reaffirming our prior year full year guidance for total revenue and adjusted EBITDA margins, despite the lower euro to U.S. dollar FX rates than we previously used. We expect total revenue to be in the range of $730 million to $750 million, representing year-over-year growth of 2% to 4%. We expect our total revenue to be positively impacted by increases in new sales of our license and subscription products in 2022 as compared to 2021. We will lead with a subscription-first focus as it relates to new sales, and we'll also focus on migrating our maintenance customers to our hybrid observability products, which are sold as subscriptions. We expect an acceleration in new sales of and migrations to our hybrid observability products in the second half of the year when more of the functionality of the platform is available and our go-to-market initiatives will be more mature. We expect that our total revenue growth will be partially offset by a decline in maintenance revenue due to lower license sales over the past 2 years as well as continued conversions of our maintenance customers to subscription offerings. Adjusted EBITDA margin for the year is expected to be approximately 41%. Non-GAAP fully diluted earnings per share is projected to be $0.88 to $0.95 per share, assuming an estimated 162.6 million fully diluted shares outstanding. Note that EPS for the full year is lower than what we guided to on our prior earnings call, reflecting an increase in our non-GAAP tax rate to 24% as well as an increase to our interest expense forecast in line with the current interest rate environment. Although our full year and second year -- although our full year and second quarter guidance assumes a euro to dollar exchange rate that is lower than the 1.13 million we assumed for 2022 when we provided our initial 2022 outlook in February, we are reaffirming the full year guidance for total revenue and adjusted EBITDA margins based on our performance to date and our current expectations. With that, I will now turn the call back over to Sudhakar for his closing remarks.
Sudhakar Ramakrishna: Thank you, Bart. I'm pleased with our strong Q1 performance, exceeding our outlook in both total revenue and adjusted EBITDA margins. We are executing our mission to help customers accelerate their business transformation via simple, powerful and secure solutions for multi-cloud environments. Our disciplined approach to portfolio and go-to-market expansion, combined with intense customer centricity, enabled us to return to our historical in-quarter renewal rates in Q1 earlier than we had previously suggested. This, we believe, provides a strong foundation for continued growth. In Q2, we will continue our journey of subscription growth with our SolarWinds hybrid observability, application monitoring, service desk and database solutions. Our Orion platform,  portfolio and cloud solutions continue to enjoy significant customer trust. Our strategy to unify platforms, deliver simpler and superior customer experiences, expand go-to-market motion and a focus on customer success are being well received by our partners and customers. We will continue to exercise discipline in how we invest in our business in order to deliver a unique combination of growth and profitability. This, we believe, increasingly represents a compelling investment opportunity. I'll conclude by again thanking our employees, partners, customers and shareholders for their commitment to SolarWinds. Bart and I will now be happy to address your questions.
Operator:  We will take our first question from Rob Oliver with Baird.
Rob Oliver: Can you guys hear me okay? .
Sudhakar Ramakrishna: Yes.
Rob Oliver: Okay. Great. Sudhakar, I wanted to start with you and ask about the large conversion in the quarter, obviously pretty exciting to see a customer convert like that. And just wanted to understand were there any particular pivot points that could cause the customer to stand up and convert to subscription? Can you talk about any changes in product usage or platform usage that came with the conversion? And then can you talk about the pipeline of conversions that are out there? And then I had a quick follow-up as well.
Sudhakar Ramakrishna: Definitely, Rob. Good to reconnect. As it relates to the subscription offerings like we discussed even last year, our focus is not simply a business model change as much as a value proposition extension. So as we look at customers, talk to them about converting to subscription, it is heavily based on how we are evolving to the hybrid observability first as an on-ramp to the cloud. So typically, when customers evolve to our subscription model, they'll be using more than, let's call it, one product of ours and look at the proposition as helping them consolidate, let's say, more vendor products, reduce the tools crawl, and so those become the conversations. That's another reason why you saw an expansion of the number of customers who are more than $100,000 with us as well. In terms of the pipeline, Rob, the way I would describe it is, last year, we moved away or evolved, I should say, from a sell-renew model to a continuous touch model with the inclusion of our customer success organization. So what we are in the process of doing is looking ahead 90 days or 180 days from when customers are coming up for their maintenance renewals and actively discussing with them the opportunity to evolve the subscription. So that's one source of pipeline. The second source of pipeline is our new sales teams themselves, proposing these solutions to customers for along a number of sales plays, tools crawl consolidation being one, integrated visibility being another and so on. So those are the 2 sources of the pipe, and I can say that the pipe is actually growing.
Rob Oliver: Great. That's really helpful color. And then I just had one follow-up, Sudhakar. You made the comment in your prepared remarks about the challenging macro. It did seem that for you guys that, at least in terms of direct impact right now, that is limited to currency. But -- and I think during inter-quarter, you made some public comments about exposure to Russia and Ukraine, which was somewhat limited. But just would love to hear a little bit of what you mean when you say challenging macro? What you see out there? And any other color there would be helpful in terms of potential impacts to the business.
Sudhakar Ramakrishna: Definitely. Rob, FX is the majority concern and contributor given how much we transact in euros and how we model the year, as Bart described, in terms of the euro assumption. So that is the largest impact. In terms of actual business, we did have a nominal impact, I would say, in Russia, but teams were able to recover in other regions, and I don't anticipate that to be the key issue. But when I say macro impact macro environment, it is not just the FX environment, it could be interest rates. Uncertainty is more the issue, but nothing specific to us that we know of other than the FX piece.
Operator: We will take our next question from Matthew Hedberg with RBC Capital Markets.
Simran Biswal: This is Simran Biswal for Matt Hedberg. I was hoping you could drill down a little bit on your overall view of the health of SME spending on a global level and expand on that?
Sudhakar Ramakrishna: As you know, our business is based significantly on the mid-market, SME, SMB and so on. We have our share of large customers as well. Based on our conversations with our customers and our partners, we continue to believe that it will be similar, if not more robust than, call it, the larger enterprise spend. But across the board, what we noticed is that customers crave for solutions along the dimensions that we've been delivering because we result in more efficiency for customers, better productivity for customers and improved security for them. So those tend to be business critical, and we expect that demand to continue. Although I'm sure you've seen all the reports around IT spending across the world, and we see consistency in our business as well around that.
Operator: And we will take our next question from Erik Suppiger with JMP Securities.
Erik Suppiger: Yes. First off, Bart, can you comment -- remind us how your interest expense -- what exposure you have to variable interest rates as they come up? And then secondly, just talk a little bit about how you're expecting the observability platform to ramp. What metrics can we look to, to be specific, as to the success of customer adoption there?
Bart Kalsu: Okay. Yes. Erik. The full amount of our debt, Erik, is the $1.9 billion is subject to variable interest rates. So it's a -- it's based off of -- currently off LIBOR. Obviously, that will change as we start to move away from the LIBOR as the basis. But the full amount is subject to variable interest rates. So as interest rates creep up, that will have an impact on our cash. And then when we're talking about the metrics to look at for the business, Eric, what we're focused on is a couple of things. It's the combination of subscription revenue growth but also what we talk about on the subscription ARR side. That's why we need to look at both of those things kind of in combination. As I described, when we convert an existing -- an existing maintenance customer to a subscription arrangement, currently, that subscription arrangement is similar to a term license. It's a 1-year subscription, so the subscription revenue isn't perfectly ratable over that subscription term. There is a component of upfront revenue with that subscription arrangement, so that's why we look at subscription ARR because it tends to smooth out some of the lumpiness of the revenue associated with those subscription deals. As we get into full observability in 2023 and we have the full SaaS version of our observability products, those arrangements will be fully ratable from a subscription  standpoint. But until we get there, there will be some lumpiness in both our license revenue and our subscription revenue associated with both new sales and conversions of our maintenance base to subscription.
Erik Suppiger: I was -- I guess I was trying to get more of a sense for how quickly do you expect customer adoption to take place? Is it -- are you anticipating that there will be a rapid ramp in terms of customers adopting that platform? Or is it something where the feature set really it's going to be more of a 2023 timeframe before it has a broad opportunity across your customer set?
Bart Kalsu: Yes. So it's going to be more like 2023 before you see broad adoption, Eric. I mean, still, the vast majority of our new sales are license and maintenance arrangements. So right now, we're rolling out the functionality of our observability products in 2022. But like I said, full functionality  available until 2023. So we're not forcing or even talking about having any kind of forcing function on our maintenance base to force them over to our subscription offerings. We are talking to our customers about it. We are laying the groundwork to start to have those conversations, but that's not going to happen any time in 2022.
Operator: We will take our next question from Kirk Materne with Evercore ISI.
Unidentified Analyst: This is  on behalf of Kirk. Just wanted to ask, you had mentioned a little bit about evolving to a per node pricing model instead of more on the per product basis, and you mentioned that it would give customers more flexibility and more uplift. What are you seeing as like feedback from customers about this? And how are you kind of thinking about this model like going forward and basically moving into next quarter?
Sudhakar Ramakrishna: Yes. So , I'll address that. The node-based licensing or pricing model has already been implemented. I mentioned in my prepared remarks about the launch of our hybrid observability solution that happened on April 19. So coincident with that, we launched node-based license pricing as well. The way I would characterize this is simplicity is one of our solid brand promises, and it's not just about the simplicity of the product, but also the simplicity as it relates to the licensing and consumption model. So in that regard, as we went through our early access preview that I mentioned which started late last year all the way through April, one of the consistent bits of positive feedback, I would say, we received from partners and customers is the node-based licensing flexibility that they get. So that by itself is not going to create uplift, but that -- that will definitely create a easier conversation and higher sales velocity as we move forward with customers.
Unidentified Analyst: Got you. And then just quickly on the acquisition you guys did in the quarter, Monalytic. Just anything you can kind of touch on on that? That would be great.
Sudhakar Ramakrishna: Yes. As it relates to Monalytic, I'll remind everyone that we made the acquisition of Monalytic largely because of their strength in the federal, and broadly, in the public sector space. Also as a way of demonstrating our total commitment to our federal government customers, that team has completely integrated with our team in the go-to-market motion and increasingly penetrating federal customers' accounts. What I can also say that more and more of our valued customers are engaging with us, and our federal team is very well coordinated as it executes not only the first half of this year, but as it prepares for Q3 and beyond which, as you know, is the largest Fed paying quarter. So in terms of additional services, we are creating new service offerings as well, but I would not call them material to report at this point.
Operator: And your next question comes from Connor Passarella with Truist Securities.
Connor Passarella: This is Connor on for Terry Tillman. Good work on the quarter. Just one question for me on the sales motion and hiring. So I know there was an expansion of mid-market and enterprise and motions. Just curious as to what you're seeing in terms of yields some of these teams on a global scale? And then second part, maybe where would you be focused on adding headcount in a tougher macro environment?
Sudhakar Ramakrishna: So a couple of areas I'd highlight. And if I don't fully answer your question, please ask me a follow-up because your line was a bit choppy. In terms of hiring, we -- let me start with the go-to-market and particularly the sales piece. We remain today largely, and we will continue remaining a inside sales-based company. Earlier in our history, we drove what was known as the download trial coat model. Going forward, as we evolve through our platform, the SolarWinds platform, we'll have the ability to demonstrate or, in other words, try and buy, so further reducing the sales friction. So a lot of our focus with regards to hiring and enablement has been with our inside sales motion. That being said, in the spirit of what I described as retain, evolve, grow, there's an increasing outside motion, and it is a selective outside motion which includes hiring of partner managers as well as enterprise sales reps and territory account managers. We had, I would say, touch with very good luck with regards to hiring incredibly talented people across our both on the go-to-market side as well as on the product side, and our belief system is that nurturing and doing our very best to retain our employees as the best way to both manage our costs as well as improve our growth. And while it's early in 2022, I will say that the conditions are much better in '22 versus '21, with regards to both hiring and retaining.
Operator:  And our next question comes from Sanjit Singh with Morgan Stanley.
Sanjit Singh: Bart, I was wondering if I could get a little bit more clarity on the guidance along sort of 2 dimensions. The first dimension is sort of FX. And if we sort of think about the guidance on a constant currency growth basis, if you could give us what that growth rate was constant currency in the prior guidance versus what you are now? I think that would be super helpful. And then the second element I wanted to discuss was when you do get these migrations of the maintenance base and they convert to some of the subscription offerings, whether it's hybrid observability package or others, what does that do to revenue? In the sense that you have headed into the maintenance space, but what does that do to the subscription line? Are the deals generally equivalent? Or does it take a couple of years to get to sort of equivalent ARR?
Bart Kalsu: Okay. Sanjit. To answer your first question on the FX, so we had not previously provided any guidance as far as it specifically relates to Q2. But in my script, I talked about the fact that if we use prior year, which I think the euro to U.S. dollar exchange rate in 2021 was 1.2, then our revenue would be $4 million higher. So that would bring the bottom end up closer to flat, and we would have had closer to like 2% to 3% growth on a constant currency basis, assuming the same FX rates as the prior year, and that's specifically as it relates to Q2. For the full year, the rate just recently dropped from about 109 down to 105. We're waiting to see exactly how long term that drop is. So when we get to the end of Q2, if we need to reforecast the full year at a lower rate than that, then we may talk about what the full year -- what that's going to have on the impact to the full year. But for now, we still think $730 million to $750 million is the number from a total revenue standpoint. To answer your second question around the conversion of a subscription customer to maintenance, so we talked about the fact that we got an extra 9 percentage points of growth from the conversion of that large customer in the first quarter. A conversion from maintenance to subscription, like I said earlier on one of the other questions, it does have an upfront component to it as we convert that customer to subscription. It's like a term license, so a little more than 60% of that arrangement is recognized upfront, with the remainder being recognized ratable over the subscription period. There will be some choppiness to our subscription revenue just like there is in license revenue in the past. So we'll -- that's why we talked. And I mentioned earlier that as we move through the year, subscription ARR will be an important measure for us because it will smooth out some of the lumpiness in that subscription the way we recognize subscription revenue today. In 2023 and beyond, as more of our customers are buying the full SaaS version of our product, that will be like your typical subscription arrangement with ratable rev rec for the entire deal.
Sanjit Singh: Understood. That's very helpful. Just one quick follow-up on that point. So I totally understood on the upfront term license piece on subscription causing some like sort of quarterly volatility on the revenue side. But just sort of on a like-for-like basis on an ARR deal, what are you guys sort of expecting if you have $100 maintenance customer? When they convert to some of these subscription offerings, what does that do on an ARR basis on conversion?
Sudhakar Ramakrishna: Maybe I can provide color, and happy to take a follow-on later during our one-on-one as well. Today, when we are converting maintenance customers to subscription, we are converting at a much higher multiple than one-to-one. So let's say we convert a $100 maintenance customer that you said. It is -- while it's early days, it's closer to $200, and the reason why it is that is less due to the business model alone, more due to the value that the customers are getting with the observability solutions, the hybrid observability solutions. I do not expect that trend to continue forever, and it will normalize, but it will still be meaningfully greater than the $100 of maintenance that we will trade off. So to net it out, will we see an ARR expansion through that? The answer is yes, and that's a metric that Bart was referring to with subscription ARR being the metric that we should be looking at.
Sanjit Singh: Yes. That would be very exciting in terms of that expansion opportunity. And I'll leave it there.
Sudhakar Ramakrishna: It is a large conversion opportunity, but we are in early days of that conversion and the  journey.
Operator: And we will take our next question from John Dessauer with Onex Credit.
John Dessauer: I appreciate it. Referencing Slide 7 in your deck, the line with the maintenance growth year-over-year down 6%, down 3%, down 5% over the prior 2, 3 quarters. Is it possible to break down that decline rate in churn versus conversions to SaaS and subscription contracts?
Bart Kalsu: So yes, like I said previously, the decline in maintenance revenue, John, is a combination of things, and I don't have the specific breakdown, but it's a combination of the fact that in 2020 and 2021, we had year-over-year declines in our license revenue. And whenever we have a new arrangement, we recognize -- typically recognize around 70% of that arrangement upfront, and then defer 30% of that deal to maintenance revenue and then recognize that over the maintenance period. And during periods of year-over-year declines in license revenue, we are adding less to that maintenance base as we move through the year. That happened to us in 2020 because of COVID and then in 2021 because of the Sunburst incident. So that's what's causing some of the declines that you're seeing on the maintenance revenue over the last, what I would say, 8 quarters. From a churn perspective, we talk about what our renewal rates are. Historically, our renewal rates have been in the low to mid-90s. In 2021, that number dropped down to 88%, primarily because of the Sunburst incident. But we expect renewal rates as we move forward to get back to what our historical norms are. And in fact, we saw that in the first quarter with a renewal rate at 91% for deals that were set to renew in the first quarter of 2022.
John Dessauer: Got it. Real quick follow-up on the term of the recent conversion to SaaS. You mentioned 2024, you're going to be more rev rec in line with actual bookings, et cetera. I guess, what's the term that you're using now of these contracts that are subscription-based currently?
Bart Kalsu: The vast majority of our subscription arrangements are 12-month deals, so our ARR matches a lot. It's very -- matches what our subscription deals are.
John Dessauer: Got it. Last quick one for me. I guess on the rate exposure, are you guys -- are you hedged at all of floating rate exposure, rates going up partially? Are you looking at that on your...
Bart Kalsu: No. Yes, no, we have not historically hedged our interest rate. We just paid as interest rates have floated up and down. We will highly likely renegotiate our debt sometime in the next 9 months. Our debt matures in February of 2024, so our goal is to try to get that debt renegotiated before it becomes current on our balance sheet.
Operator: And there are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. We thank you for your participation, and you may now disconnect.